Operator: Good day, everyone and welcome to Charles River Associates First Quarter 2022 Conference Call. Please note that today’s call is being recorded. The company’s earnings release and prepared remarks from CRA’s Chief Financial Officer are posted on the Investor Relation section of CRA’s website at crai.com. With us today are CRA’s President and Chief Executive Officer, Paul Maleh; Chief Financial Officer, Dan Mahoney; and Chief Corporate Development Officer, Chad Holmes. At this time, I’d like to turn the call over to Mr. Mahoney for opening remarks. Dan, please go ahead.
Dan Mahoney: Thank you, Rob and good morning everyone. Please note that the statements made during this conference call, including guidance on future revenue and non-GAAP EBITDA margin and any other statements concerning the future business, operating results or financial condition of CRA, including those statements using the terms expect, outlook or similar terms are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management’s current expectations and is inherently uncertain. Actual performance and results may differ materially from those expressed or implied in these statements due to many important factors, including the extent and duration of the impact of the COVID-19 pandemic on our financial condition and results of operations. Additional information regarding these factors is included in today’s release and in CRA’s periodic reports, including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC. CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures and certain measures presented on a constant currency basis on this call. Everyone is encouraged to refer to today’s release and related CFO remarks for reconciliations of these non-GAAP financial measures to their GAAP comparable measures and descriptions of the calculation of EBITDA and measures presented on a constant currency basis. I will now turn it over to Paul for his report. Paul?
Paul Maleh: Thanks, Dan and good morning everyone. Thank you for joining us today. During the first quarter CRA continued to build momentum in the business and demand for our services. Revenue increased to $148.4 million, which represents the highest quarterly revenue in the company’s history. Our performance was brought based with 5 practices and I trust in competition economics, auctions and competitive betting, intellectual property, labor and employment and risk investigations and analytics delivering double digit revenue growth year-over-year. CRA continues to expand its margins as profits grew faster than revenue. Specifically, non-GAAP net income increased 7%, earnings per diluted share increased 12% and EBITDA grew 6% year-over-year. I would now like to spend a few minutes highlighting some of the services we provided during the first quarter. Despite the 21% decrease year-over-year worldwide, M&A transactions totaled $1 trillion during the first quarter of 2022 marking the 7th consecutive quarter of $1 trillion or more. Against this backdrop, our Antitrust & Competition Economics records its highest quarterly revenue ever. During the first quarter, the practice continued to support clients’ merger review proceedings and jurisdictions around the world. For example, a CRA team assisted clients in obtaining unconditional clearance of Biscuit International’s acquisition of Continental Bakeries, which strengthen Biscuit International’s position as a producer of private label biscuits in Europe. The commission concluded that the proposed transaction would not raise competition concerns given the company’s activities are mostly complementary and that for those markets were the company’s activities overlap enough alternative suppliers would remain after the transaction. The Commission also assessed possible effects stemming from the combined entity’s uniquely large portfolio of sweet biscuits and concluded that the transaction would give the parties neither the ability nor the incentive to engage in for closing strategies against competitors. Looking more broadly at the legal market, trends and activity levels were mixed. Total case filings during the first quarter of 2022 were down 6% year-over-year. Within the courtroom, the number of total core judgments during the first quarter was up 12% relative to the first quarter of 2021. This reflected continued improvements from the approximately 1% year-over-year increase observed in Q4 of 2021. Consistent with these market conditions, CRA’s revenue from legal and regulatory offerings grew modestly during the first quarter, expanding 4% year-over-year. In addition to their merger review work, CRA’s Antitrust and Competition Economics practice continued to support clients in the context of legal disputes. During the first quarter, CRA experts prepared and delivered expert reports and testimony and Antitrust investigations addressing price fixing, monopolization and merger-related claims. Our intellectual property practice advised on multiple high-stakes litigation matters covering a broad range of industries. For example, in a patent infringement and false advertising litigation involving the fitness industry, a CRA expert analyzed potential economic damages, including lost profits, reasonable royalties and unjust enrichment and a breach of contract matter involving HIV drug research contracts between a government agency and a pharmaceutical company, CRA was retained by the Department of Justice to testify on potential harm arising from the alleged breaches and certain contract interpretation issues. The IP practice has also experienced an increase in activity involving U.S. International Trade Commission investigations. For example, a CRA expert analyzed economic issues related to an ITC investigation involving psychological monitoring technology used in smart watches. Within our labor and employment practice, CRA continues to be engaged by clients to provide economic analysis and ongoing employment litigation regarding equal employment opportunity and wage and hour matters as well as traditional labor disputes involving collective bargaining and the National Labor Relations Board. For a financial services client, we have developed mediation tools that allow our client to quickly assess potential exposure associated with alternative off-the-clock work assumptions. On February 28, 2022, CRA welcomed approximately 45 new consulting and corporate colleagues to CRA as part of the acquisition of Welch Consulting. One month into the integration, the labor and employment practice has already experienced the benefits of cross-selling services within the practice and across CRA with our new colleagues. Vice President from Welch Consulting were retained as testifying experts on projects originating outside the labor employment practice, including a recent opportunity with the forensic practice. We have also been able to incorporate specialized skills found within each group to benefit our clients. For example, CRA’s legacy labor and employment practice has benefited from Welch data development programs that improve the efficiencies of our analytics and delivery of client services. These are the types of benefits that attracted us to the Welch team, and we’re pleased to see the integration playing out as expected. During the first quarter, our multidisciplinary risk investigation and analytics team of forensic accountants and Quantum experts assisted outside counsel and in a significant REIT industry arbitration. We began, as a matter – what began as a matter, excuse me, involving REIT investment and tax accounting issues grew as the team identified additional damage-related issues, and we’re able to quickly leverage the depth of CRA’s expertise, including the risk practices investigative and social media analytics resources, computer forensic resources and valuation experts from the finance practice. Within our management consulting offering, the auctions and competitive bidding practice achieved a major milestone with its dairy trade auction platform, conducting its 300th trading event in January. CRA’s GDT platform has been used since 2008 by global dairy sellers and buyers to transact more than $30 billion in internationally traded dairy products. For its electric utility clients, the practice conducted five auctions and RFPs during Q1. For 25 years, Sierra has been designing and managing competitive bidding procurements for energy clients in various jurisdictions, meeting their needs and the needs of their customers as well as state and federal regulatory requirements. I’m grateful to all of my colleagues for their hard work and helping our clients address their most important challenges. As our first quarter results demonstrate, our portfolio services remains highly valued by our clients. Moreover, we are well positioned to maintain the momentum in the business. During the first quarter, we grew our project lead flow and new project originations by 25% and 16%, respectively, compared to the fourth quarter of 2021. The quarter’s project lead flow and new project originations each represented CRA’s second highest achievement ever, only eclipsed by the performance observed in the first quarter of 2021. With that, I will turn the call over to Chad and then Dan for additional comments. Chad?
Chad Holmes: Thanks, Paul. Hello, everyone. I want to update you on our capital deployment initiatives during the quarter. CRA continues to generate strong cash flows for the trailing 12 months through the first quarter of fiscal 2022 CRA’s adjusted net cash flows from operations were $74.9 million or 13.2% of revenue. As Dan will describe in greater detail, we concluded the quarter with $43.7 million of cash and $60 million of borrowing under our revolving credit facility, resulting in a net debt position of $16.3 million. The Q1 fiscal 2022 borrowings were primarily to fund bonus payments, which is consistent with our practice in prior years. Bonuses will be fully paid by the end of Q2, and we expect the associated borrowings to be retired by year-end. In addition to the normal bonus cycle, the first quarter of 2022 also saw cash outlays for talent investments of $19.4 million, including payments associated with the acquisition of Welch Consulting. We also spent $1.3 million on capital expenditures. For fiscal year 2022, we expect to spend $5 million to $6 million on capital expenditures. We return $7.4 million of capital to our shareholders during the first quarter, consisting of $2.4 million of dividend payments and $5 million for share repurchases of approximately 57,000 shares. We have approximately $45.5 million available under our current share repurchase program. With that, I’ll turn the call over to Dan for a few final comments. Dan?
Dan Mahoney: Thanks, Chad. As a reminder, more expansive commentary on our financial results is available on the Investor Relations section of our website under prepared CFO remarks. Before we get to questions, let me provide a few additional metrics related to our performance in the first quarter of fiscal 2022. In terms of consultant headcount, we ended the quarter at 878, which consisted of 146 officers, 505 other senior staff and 227 junior staff. This represents a 4.9% increase compared with the 837 consultant headcount reported at the end of Q1 fiscal 2021. Non-GAAP selling, general and administrative expenses, excluding the 3% attributable to commissions to non-employee experts was 14.4% of revenue for the first quarter of fiscal 2022 compared with 13.2% a year ago. This quarter’s ratio was impacted primarily by an increase in travel and entertainment expenses as well as higher labor costs. The effective tax rate for the first quarter of fiscal 2022 on a non-GAAP basis was 26.4% compared with 24.5% on a non-GAAP basis for the first quarter of fiscal 2021. The higher rate in the first quarter of 2022 was largely attributable to a lower benefit arising from the accounting for stock-based compensation. Turning to the balance sheet, DSO at the end of the first quarter was 99 days compared with 101 days at the end of the fourth quarter of fiscal 2021. DSO in the first quarter consisted of 59 days of billed and 40 days of unbilled. We concluded the first quarter of fiscal 2022 with $43.7 million in cash and a further $110.6 million of available capacity on our line of credit for a total liquidity of $154.3 million. That concludes our prepared remarks. We will now open the call for questions. Rob, please go ahead.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Andrew Nicholas with William Blair. Please proceed with your question.
Andrew Nicholas: Hi, good morning. Thanks for taking the questions. I wanted to start with the really strong commentary around the pipeline in new business and new project origination numbers. Could you maybe speak to any practices in particular that are driving that? Any areas where momentum has picked up considerably at least relative to last quarter?
Paul Maleh: Let me start with good morning, Andrew. Thanks for the question. Clearly, the practices we highlighted as these five practices that experienced double-digit revenue growth enjoyed nice revenue expansion, but also enjoyed nice lead flow coming into the organization. The other practice that has been slowly building on its pipeline of leads, a new project is our life sciences practice. So we are pretty excited about the momentum of that practice. And hopefully, it continues in the quarters ahead as we see that practice expanding on that. So, those are the main units that I would highlight right now as driving some of the expansion. Clearly, the labor practice, I am sorry, enjoyed a large expansion with the combination of Welch Consulting. They are bringing on new lead flow in addition to bringing over existing projects that they were working on prior to the acquisition.
Andrew Nicholas: Makes sense. Thank you. And then for my follow-up, I just wanted to ask about bill rates broadly obviously with wage pressures across the industry. Just kind of curious if you could speak to your ability to pass along rate increases, how much of that’s in the numbers to this point, just general receptivity from clients to that conversation. My perception or my sense is from speaking to other companies is that rate increases are pretty well understood in the current environment, but just curious to get your take on that? Thank you.
Paul Maleh: Sure. I’m going to start with, you’re right in that, we have seen some wage pressures, particularly with the university level hires. As we said in the past, we believe that we will be largely able to mitigate higher wages that we are incurring throughout our company, through either the way we deliver the services. By that, I mean the staffing leverage we may use or by passing those higher wages through higher rates. The catch is always that you have to make sure you’re delivering value for your clients. It’s not simply because your costs are going up that clients will be receptive to higher bill rates. To date, yes, we have – starting on Jan 1, we have increased our bill rates, and it usually takes a couple of months before we fully appreciate the stickiness of that rate increase. But through the first 4 months of the quarter, I’m pretty pleased with the receptiveness of our clients of those increases.
Andrew Nicholas: Great. Thank you. Appreciate the insight.
Paul Maleh: Thank you, Andrew.
Operator: Our next question comes from Kevin Steinke with Barrington Research. Please proceed with your question.
Kevin Steinke: Good morning. Congratulations on the strong results.
Paul Maleh: Thanks, Kevin.
Kevin Steinke: Sure. I wanted to start out just about asking about the margin trends. And obviously, you started out the year really nicely here, 12.7% non-GAAP EBITDA margin, maintaining that outlook for the full year of 10.8% to 11.5%. So I just wanted to get a sense of your hiring plans as it relates to some of the high-end talent that you’re expecting to bring in and how that will affect the expense base as well as just what you’re seeing in terms of trends in G&A expenses and pick up and travel, etcetera, as things hopefully start to normalize a little bit more post – coming out of the pandemic?
Paul Maleh: Sure. No, we are also very pleased with both the revenue performance and the profitability of the company as a whole. We’re pleased with what we’re seeing on the gross margin, and we’re also pleased with what we’re seeing on the operating income line. And with respect to that moving forward, there are a lot of variables that we’re trying to take into account. One of them, of course, being a CRA returns to the office and maybe becomes more visible physically in front of our clients. We may see meals and incidentals increase in the coming months and quarters on that. I think in aggregate, I would not expect much more than a 50 to 100 basis point increase in SG&A as a result of this return to the office, an increase of client interaction and meetings at various conferences. So we feel pretty good with where we stand now. We think we’ve gained a lot of efficiencies in operations over the past several years that should help us as we reemerge as a firm.
Kevin Steinke: Alright. Good. And I think kind of baked in that to the expectation of the margin, at least you discussed this last quarter, was this that you would expect forgivable loan amortization to pick up in 2022 by about 50 basis points versus last year. We actually came in down 20 basis points in the first quarter on forgivable loan amortization as a percentage of revenue. So I just want to get a sense is, again, about the hiring pipeline and your thoughts on bringing on some higher level people and how that could have affect forgivable loan amortization for the rest of the year?
Paul Maleh: Sure. We still anticipate forgivable loan amortization in 2022 to be roughly 50 basis points higher than it was during fiscal 2021. The reason we are confident in that statement is the pipeline is really rich. We had some deals that hopefully we can share in terms of senior recruits and particularly when you are bringing on senior recruits, those that are bringing on incremental streams of revenue and profits or potential small groups. There is acquisition type proceeds that take the form of these forgivable loans. So we expect the forgivable loan balance to increase from what you’re observing. But the real exciting part about that is we also expect to be welcoming a number of really impressive colleagues in the months and quarters ahead.
Kevin Steinke: Great. I believe, correct me if I’m wrong, but you were looking to have a return to the office or kind of a more full sense? I think it was April 1. Is that – was that still the case? Or maybe just any discussion on return to the office and what you’ve been seeing in terms of people coming back in.
Paul Maleh: Yes. A little phrase that we use internally, and I think it’s so true for CRA and for one, I’m reading, so true for many other firms. On March 16, 2020, we went virtual literally overnight from being a predominantly in-office consultancy. And the phrase is that the return to the office will not be as instantaneous. It will be a journey. And to no one’s surprise, returned to the office on Monday, April 4 is a journey. We’re making some positive step forward. But with every step forward, there is half a step back. So we’re trying to balance the transition of all of our colleagues across the various geographies to where they feel comfortable in returning back to the office and then even more important that they feel that there is benefit from being back in the office through their interaction with colleagues.
Kevin Steinke: Right, okay. Great. Can you just maybe give us any high-level thoughts on just the overall competitive environment as you think about the business, hopefully coming out of the pandemic here, has there been any meaningful changes? Or what are your thoughts on the overall landscape?
Paul Maleh: There is still a lot of very reputable competitors out in the marketplace. We haven’t seen any large-scale consolidation to remove a competitor or to create a new competitor. So in terms of our pursuit of high-quality revenue opportunities, no, I wouldn’t say the level of competition has increased or diminished meaningfully in the last several months. With respect to the competition for talent, when your goal is to provide value-added services and to be a premier provider of those services, your colleagues will always be in demand. Always be in demand by individuals and firms that provide similar services and also in demand by many other industries who appreciate the insights of information using sophisticated analytic tools. So when people are calling your colleagues, trying to recruit them away, you’re doing something right because that means you are bringing in the best and brightest. And it’s our job to make CRA an attractive home for these individuals to want to stay here. So far, we’re pretty happy on the trade-off that we’re seeing.
Kevin Steinke: Okay, thanks for taking the questions. Again congratulations on results.
Paul Maleh: Thank you, Kevin. Thank you.
Operator: Our next question comes from Marc Riddick with Sidoti & Company. Please proceed with your questions.
Marc Riddick: Hi, good morning, everyone.
Paul Maleh: Good morning.
Marc Riddick: So very strong results and certainly, it’s always nice to see, especially in the beginning of the year when usually we think things are going to start off and gradually build generally speaking. But I wanted to ask sort of with the commentary around the strength of new business development. I just wonder if you could sort of talk about maybe how that – how – maybe the pacing of that look. Is that something that was sort of gradual through the quarter or were there any fits and starts that could theoretically be tied to any form of big picture macro or global events?
Paul Maleh: Q1 is always a bit finicky in that the month of January is typically a transition month from coming out of the holidays and transitioning into a new fiscal year. And fiscal 2020 was no different from what we’ve experienced in years past. The quarter started slowly, and we saw momentum start to build in both the work we’re doing on billable projects and also the lead flow coming in. So I would say that, that momentum built as we went through the quarter. And we clearly got a boost by welcoming our wonderful new colleagues from Welch Consulting towards the end of February.
Marc Riddick: Well, that actually nicely takes me into my next question because I sort of wanted to see if you could sort of spend a little more time. Granted, it’s only been – it was only a month as far as the first quarter, but certainly, things have gotten off to a very good start there. I just wanted to sort of talk about maybe some of the – are there any surprises that you’ve seen so far? And maybe you sort of talk a little bit about sort of the – it seems as though the timing of that practice area is particularly – seems particularly timely given all of the things going on around labor and inflames. I was wondering if you could talk a little bit about that?
Paul Maleh: Yes. Typically, in the first 30 to 60 days, a lot of the effort is what I would call more administrative efforts on integration and my sympathy to our new colleagues in that when you’re a new colleague trying to move your teams over, trying to move your projects over, you are inundated with a lot of administration on that transition, and they have handled it wonderfully. I realize it’s hard to do your day job in providing your clients with exceptional service when in addition, you’re also getting inundated with a lot of these administrative requests. But so far, so good. Hopefully, as we go forward, everyone’s focus can be on providing higher-value services to our clients. And that’s really what we wanted to try to highlight today in some of the speaking notes is talking about how we are seeing benefits from the combination of these two entities. And I’m hoping as we learn more about them and they learn more about us, those benefits start to multiply.
Marc Riddick: Great. And then I wanted to switch gears over to the commentary. We’ve talked in the past about it, and it’s always appreciated when you mentioned sort of what you’re seeing going through the courts and what those spaces look like. I was wondering if you could talk a little bit about maybe what the feedback has been like with your – with the law firms. And maybe is there sort of a general sense as to what their needs may be or how they may have evolved so far this year, given what we’re seeing in the courts or maybe the type of feedback that you’re getting from them as to what we might see going forward?
Paul Maleh: I think the feedback has been pretty consistent. We haven’t necessarily seen in about face from our clients in terms of the types of services they are asking. In Q1 there is always these starts and stops, unfortunately, that we’ve had to deal with because of the health-related concerns and what we experienced starting in December through January with the Omicron surge. And quite frankly, as the world has tried to reemerge in the months of March and April, we’re seeing surges again across our various geographies. Those starts and stops do impact the flow of revenue and the flow of lead opportunities. So I think everyone would love to have some normalcy defined any way you want with that. But it’s more the starts and stops, I think, are what is problematic. I haven’t seen yet what I would call noticeable impact on the demand related to a lot of the political turmoil that we’re seeing around our world.
Marc Riddick: Okay. And then last one for me. Mentioning as far as the strength in antitrust is certainly notable, especially with the challenging comparison of global M&A activity. I wonder if you could spend a little time, are you getting a sense of, a, kind of gaining market share as far as what you’re seeing there. But also, is there any kind of difference as to maybe what the scope of those assignments are? Do you get the sense – are they maybe larger? Or are they lasting longer than normal? And maybe what that mix might look like maybe compared to a year ago or so? Thanks.
Paul Maleh: Sure. The point we were trying to raise with the quoting of the M&A activity is yes, there was a sequential decline – there was a decline in aggregate M&A activity by, I think I said 21%. But what we don’t want to lose sight on that, we’ve been in roughly almost a 2-year stretch of time in which M&A markets are running at unprecedented levels. So yes, it is a 21% decline. But for seven consecutive quarters of over $1 trillion, it’s still a pretty lucrative market for that. And my colleagues have done amazingly well on getting their fair share of those matters. It’s always hard to gauge what exactly is your market share in the legal regulatory environment because of how fragmented some areas of the marketplace may be. But I think if you look now over an extended period of time, I’m pretty comfortable in saying CRA has gained market share over the last several years from who and exactly what area, that’s a little harder to gauge.
Marc Riddick: Thank you very much.
Paul Maleh: Thank you, Marc. Thank you.
Operator: At this time, we’ve reached the end of the question-and-answer session. I will now turn the conference back over to Mr. Maleh for any closing or additional remarks.
Paul Maleh: Again, thanks to everyone for joining us today. We appreciate your time and interest in CRA. We’re going to be busy participating in virtual meetings with investors in the coming months, and we look forward to updating you on our progress on our second quarter call. With that, that concludes today’s call. Be safe, everyone. Thanks.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time, and we thank you for your participation.